Maximilian Schoberl: Good morning, ladies and gentlemen. Welcome to the telephone conference of the BMW Group for the second quarter. Today, we have here as always, Oliver Zipse, Chairman of the Board of Management; and our CFO, Walter Mertl. First, Oliver will give you a general business update for the BMW Group. Walter will then take you through our financial results. After a short break, we will then have time for our Q&A session. So we can start. Oliver, please go ahead.
Oliver Zipse: Good morning, ladies and gentlemen. In the past few days, several automotive manufacturers have released their half year results. A glance at the numbers shows just how differentiated our industry is. The basic principles are the same for everyone, which reveals even more clearly how different strategic approaches are performing in the current environment. All those who are broadly diversified are reaping the benefits. Our own ambitions are underlined by the first six months. In the face of headwinds, we can capitalize on our competitive strength in the market. In the first half of 2024, BMW Group deliveries were at the same high level as the previous year. Our core BMW brand is growing. In terms of financial performance, we also delivered consistently high profitability. For the past 10 consecutive quarters, our EBIT margin in the Automotive segment has been within our strategic target range of 8% to 10% or higher. At 10.9%, the group EBT margin once again outperformed our strategic target of 10%. Above all, our all-electric vehicles end models in the higher priced upper segments of our BMW and BMW M brands remain in very high demand. In our view, E-Mobility will continue to be the core drive technology for the future and our primary growth driver. We anticipated this development early, which is why we have one of the most comprehensive and attractive EV portfolios in the marketplace today. We already offer at least one BEV model in nearly every segment that is relevant for us. This wide ranging offering lays the foundation for our continued dynamic growth in BEVs, even in the current more challenging market environment. In absolute terms, BMW comes in a strong third in electric vehicle sales among all OEMs worldwide. Our impressive performance in ramping up electro-mobility becomes even clearer when we look at the rate of growth in the first half of the year. With growth of 34%, the BMW brand is number one worldwide among all relevant major players. Take the example of the BMW X1, a customer favorite; and our luxury sedan, the new BMW 7 Series. In the case of both vehicles, one in five customers is already opting for the all-electric IX1 or i7 variant. And the 7 Series was platinum award winner in the recent GDPOWER appeal study. In the first half of 2024, our fully electric sports coupe, the BMW i4, remained our lineups best-selling electric vehicle once again posting double-digit growth. I have emphasized many times that following the hype without careful consideration is not a strategy. Emotionality and nervousness has never been good counselors. Our strategy is grounded in facts, experience and a continuous realistic assessment of the current situation. It has proven robust, especially in turbulent times. The approach to drive technologies rooted in this strategy makes us resilient and secures our market success. We're globally aligned, highly flexible production network. We're capable of responding to fluctuations in demand better than others. Supply chain management is increasingly critical to success. We have established processes to identify risks in our supplier network at a very early stage. This enables us to take action and build up stock before a risk becomes an issue. We have not had any major impact recently. This also ensures that we can respond to regional differences in customer preferences as needed, whether for cars with internal combustion engines, plug-in hybrids or BEVs. And as a result, we've consistently outperformed EU CO2 requirements for the past years. One thing is clear, the most impactful contributions to climate protection are those we can make today. In other words, every ton of CO2 we can save today, not some time in the future, counts. This also entails demanding and promoting the use of low CO2 fuels like e-fuels, E25 or HVO100 as quickly and as widely as possible. These fuels could immediately improve the carbon footprint of the existing fleet of more than 250 million vehicles in the European Union. At the moment, however, we see a significant risk of e-fuels being politically instrumentalized in the debate about the ban on combustion ended from 2035. There are currently many indications that the EU commission is driving for a bogus solution in which the ban on combustion engine is relaxed simply by ostensibly opening up to e-fuels. However, if it then does nothing to accelerate the ramp-up of low CO2 fuels and make their use practicable, this would be a deliberate ban on combustion engines through the back door. We continue to believe that a categorial ban on combustion technology in 2035 is the wrong approach, and we are also publicly committed to our highly efficient engines and plug-in hybrid technology such as used in our new BMW X3 and, of course, as well as electromobility. As a hybrid version, the high volume X3 enables locally emission-free premium mobility well behind city traffic. The new X3 will be released onto the market in the fourth quarter, initially in the United States and Europe. And you all know how popular our X models are. Last year, the current X3 was the best-selling across our entire BMW product range. When the all-electric NEUE KLASSE ramps up at our specially build plant in Debrecen in late 2025, it will initially launch with an X model. This will be followed soon afterwards by a sporty sedan from Plant Munich. With the NEUE KLASSE, our aim is to once again expand our technology leadership. Preparations are in full swing and progressing according to plan despite the challenging conditions. Our technology classes allow us to quickly deploy the technologies of the NEUE KLASSE across our entire vehicle portfolio, elevating it to a whole new level regardless of the drive technology and mastering this degree of integration and executing it efficiently are highly complex tasks. This is precisely where future competitiveness will be decided in our industry. It is why we continue to focus on optimizing interaction between our technologies, creating a holistic mobility experience for all our customers. Our automated driving functions provide a good example of our technological edge. A few weeks ago, we released a world first onto the market. We're the first automotive manufacturer to offer the combination of Level 2 and Level 3 private systems exclusively in Germany in the new 7 Series. We've already obtained Level 2 class approval for numerous models of BMW in the United States, Canada, and Germany, such as for the 5 Series, the 7 Series, the X5, the X6, the X7, the XM and the IX, making this another field where our technology clearly sets us apart. We will solidify this leading position with the NEUE KLASSE. Ladies and gentlemen, the automotive industry is a major driver of the global economy, which increasingly makes it the focus of geopolitical interests. The issues range from growing regulation to protectionist measures in the major economic areas of United States, China and the European Union. We are seeing global competition for raw materials and access to strategically critical technologies such as high-voltage batteries and semiconductors, as well as advancements in AI applications. Each regions and individual states is seeking to protect its own economic interest. This also includes localizing the entire automotive value chain, including supply chains. At the global BMW Group, we remain committed to local engagement and to open markets and opposed to artificial barriers such as punitive tariffs. The introduction of additional import duties like those recently imposed by the EU leads us down a dead-end street and will ultimately not make European manufactures any more competitive. On the contrary, EU tariffs on BEVs from China instead penalized European manufacturers like the BMW Group, since they also produced vehicles in China for the European market. Additional customs duties also limit the choice of electric cars for European customers and could therefore slow down decarbonization in the transport sector measures -- always lead to countermeasures. Let us not forget that implementation of the green deal in Europe also relies heavily on raw materials and technology from China, in particular. Ladies and gentlemen, with our long-term yet flexible strategy, we are in the driver's seat. We adapt quickly, swiftly, and effectively as conditions evolve. We see no reason for hasty action of fundamental course adjustments. We will continue on our path in the future. That means sometimes we do things differently, but always out of conviction, not merely on principle. This is what makes BMW strong and successful in the long term. The fact of the matter is the automotive industry will remain a growth sector in the future. And we intend to make sure the BMW Group in particular benefits from it. Thank you.
Maximilian Schoberl: Thank you very much, Oliver. And now over to our CFO, Walter Mertl.
Walter Mertl: Good morning, ladies and gentlemen. The BMW Group remains on track and confirms its targets for 2024 despite the volatile market environment. After a successful start to the year, we again achieved EBIT margin for the Automotive segment with our full-year target range of 8% to 10% in the second quarter, thanks to our attractive product portfolio. At the same time, we are continuing to invest in our future model lineup and securing the company's long-term competitiveness. As of June, BMW Group global sales remained on par with last year. The BMW brand grew by 2.3% globally or 6.2%, if we exclude the Chinese market. Global growth drivers are our all electric vehicles and models from the upper premium segment, both of which saw a double-digit increase. The Group EBT margin came in at 10.5% for the second quarter and 10.9% for the first half year. The automotive EBIT margin reached 8.4% in the second quarter and 8.6% for the half year, both within our full-year target range of 8% to 10%. Excluding the depreciation resulting from the purchase price allocation of BBA, the margins came in at 9.4% for the second quarter and 9.6% through six months. Ladies and gentlemen, the BMW Group is committed to maintaining its strategic focus. We have a clear plan and the long-term strategy that we are implementing systematically. At the same time, we remain highly flexible in our execution and are able to respond swiftly to market developments. This enables our operating business to deliver consistently good results. Let's take a look at the financial figures in the second quarter in more detail, starting with a brief overview of the group. BMW Group revenues were on par with the previous year. Group earnings before tax totaled around €3.9 billion, resulting in a group EBT margin of 10.5%. On the next slide, you can see how the automotive segment performed across key figures. In the second quarter, the BMW Group delivered approximately 619,000 BMW Mini and Rolls-Royce vehicles to customers. The BMW brand reported sales growth of 2.2%. Many, on the other hand, saw a significant decrease from the previous year due to the planned model changeover across the entire product range. However, in the second half of the year, the brand will benefit from the ramp-up of the new mini family with the Countryman and Cooper both available in several drive trains, as well as the all-electric Aceman. We continue to see sales growth of our all electric vehicles. The BMW Group delivered about 108,000 BEVs to customers in the second quarter. This represents 17.4% of our sales. Our electrified vehicles, in other words, BEVs plus plug-in hybrids, accounted for almost 24% of total sales in the second quarter. Segment revenues increased slightly by 1.4%. Adjusted for currency translation effects, revenues saw an increase of 2.1%. The significant growth in all electric vehicles and models from the upper premium segment contributed to this. The current trend is also expected to have a positive effect on revenues for the remainder of 2024. Revenue per wholesale unit across the entire product portfolio is expected to be in line with last year's level. EBIT for the period from April to June totaled €2.7 billion. The EBIT margin came in at 8.4% for the quarter and 8.6% for the half year. Excluding the depreciation resulting from the purchase price allocation of BBA, the EBIT margin was 9.4% for the second quarter and 9.6% for the six months. That brings me to the EBIT bridge to explain in more detail the changes in the operating result compared to the second quarter of the previous year. The net balance of currency and commodity positions provided a tailwind of €500 million over last year's second quarter. For the full-year 2024, we anticipate a positive net balance from currency and commodity positions. This is expected to nearly offset material cost headwinds. However, we see additional requests for supply chain and support. The net balance of volume, model mix, and pricing effects in the second quarter was about €300 million lower year-on-year. Volume development and the model mix made a positive contribution to this. The global price environment for new and used cars continued to normalize in the second quarter the Chinese market, in particular, remains highly competitive. For the full-year 2024, we expect the net effect from volumes, model mix, and prices to be neutral over last year. Research and development expenses increased by about €100 million compared to the prior year quarter. The BMW Group's research and development expenditure remained at high level through the end of June, totaling almost €4.2 billion. The R&D ratio according to the German Commercial Code was at 5.7% after the first six months. The capitalization ratio for development costs, which is relevant for R&D costs according to IFRS of 34% in the second quarter and 30.8% as of June. Selling and administrative expenses increased by around €100 million compared to the previous year, primarily driven by personnel costs and expenses for IT projects. A headwind of €200 million from other cost changes can mainly be attributed to the manufacturing costs. Here, inflation in material costs continues to have an impact. Free cash flow in the Automotive segment totaled €1 billion in the second quarter. The change in working capital amounting to €500 million is largely due to the planned increase in inventory levels. This ensures we can continue to meet global demand for our products in the second half of this year. The net effect from capital expenditure and depreciation reduced free cash flow by €400 million in the second quarter. Total investments for April to June amounted to around €2.6 billion. The CapEx ratio came in at 5.8% for the second quarter and 4.7% for the half year. As in the previous years, the major share of capital expenditure will occur in the second half of the year and especially in the fourth quarter. We expect the CapEx ratio of more than 6% for the full-year. Changes to provisions positively impacted free cash flow in the second quarter by around €100 million. A change in the position other of around €800 million mainly reflects regular tax payments. After the first six months, automotive segment free cash flow had reached just over €2.3 billion. The difference in free cash flow compared to 2023 is due to the CapEx increase of around €1 billion. We expect to see a positive contribution from a reduction in working capital by end of this year. For the full-year, we are targeting a free cash flow of over €6 billion. Since 2022, we have made a paradigm shift in our shareholder return strategy by adding a share buyback program that supplements our annual dividend payout. In doing so, we have increased the payout ratio of automotive free cash flow by paying dividends in our target corridor of 30% to 40%, as well as using the share buyback program. BMW AG is continuing with a share repurchase program as planned. At the end of June, it had acquired shares equivalent to 5.51% of the existing share capital as of June 30th. The second tranche of the second program totaling €500 million was completed in June. A third tranche of €500 million, which began in June will be concluded no later than December 31st. By the end of 2024, BMW AG will have repurchased shares values at €1.5 billion as part of the second program, which amounts to €2 billion in total. Ladies and gentlemen, the BMW Group has a solid and robust balance sheet, confirming the company's considerable financial strength. This is also underscored by our net financial assets in the Automotive business, which totaled just over €43 billion. Starting with the half year report 2024, we are changing the way we report net financial assets in our automotive business. In addition to the automotive segments, NFA that was previously reported, the new figure also includes the NFA of holding companies within the other entity segments, which received regular distributions from their subsidiaries. I trust that this new comprehensive definition of net financial assets provides you with useful additional information. Let's move on to the Financial Services segment. Here, the positive trend in new business continues for financing of both new and used vehicles. A total of about 850,000 new leasing and credit financing contracts were concluded in the first half year. This represents a significant increase of 16.5% year-over-year. The volume of new business encompassing all new credit financing and leasing contracts climbed 18.2% to around €32 billion. This positive development in new business is also reflected in the portfolio. The total value of all contracts managed surpassed €143 billion for the first time. Segment earnings amounted to just under €1.5 billion. This year-on-year decrease of 13.1% resulted mainly from lower income from the resale of end-of-lease vehicles, which reflects the continued normalization of the used car market. During the reporting period, the credit loss ratio for the entire credit portfolio was 0.25%, in 2023 was 0.15%. The segment's overall business performance was better than anticipated. And for this reason, we are raising our full-year guidance for return on equity from a range between 14% and 17% to a range between 15% and 18%. In the Motorcycles segment, second quarter deliveries increased by 2.6% compared to the previous year's quarter. EBIT in the second quarter totaled €110 million, with an EBIT margin of 11.1%. Ladies and gentlemen, the BMW Group is on course to meet its targets for the year. The market development in China in the first half year has not met our expectations, but we expect that the various measures taken by the government, including the cut in lending rates in July, will lead to a stabilization of the market starting in the third quarter. Our overall business environment will remain challenging throughout the rest of the year. Our guidance assumes that geopolitical and macroeconomic conditions will not deteriorate. Group earnings before tax will decrease slightly. We expect to see a slight increase in demand with sales in Automotive segment, slightly higher than the previous year. The percentage of all electric vehicles will increase significantly. We are targeting an EBIT margin between 8% and 10% and the return on capital employed between 15% and 20%. Deliveries are projected to increase slightly in the Motorcycle segment. The EBIT margin should come in between 8% and 10% with a return on capital employed between 21% and 26%. In the Financial Services segment, we're now forecasting a return on equity in the range of 15% to 18% for the full-year. Ladies and gentlemen, at BMW Group is pursuing a clear strategic approach focused on long-term success. Our company maintains a globally balanced footprint. We are leveraging this balance and the high flexibility of all our systems to mitigate market volatility and consistently provide our customers with the best products to suit their needs. We continue to systematically implement our electrification and digitalization strategy and make targeted investments in our future model lineup. In 2024, we are setting a decisive course for our future. Research and development spending and capital expenditure will, therefore, respectively peak as planned. We expect our R&D ratio for the full-year to exceed 5% with a CapEx ratio of more than 6%. Despite these higher upfront investments, we were still able to deliver a solid financial performance in the second quarter, thanks to our attractive product range. Across global markets, we are carefully steering our performance in line with individual market conditions. And at the same time, we are maintaining a high level of cost discipline better manufacturing costs, fixed costs or capital expenditure. At the BMW Group, we have always constantly optimized our cost structures and will continue to do so. I am confident that our clear long-term strategy, combined with focused execution in our operational business will keep us competitive and successful, both now and in the future. Thank you.
Oliver Zipse: Thank you very much, Walter. Ladies and gentlemen, we'll now have a short break before we move on to the Q&A session. See you in five minutes. Thank you very much.
Operator: Mr. Hinter [ph] you can now unmute yourself.
Unidentified Analyst: Can you hear me?
Maximilian Schoberl: Mr. Hinter, we can hear you, you can begin.
Unidentified Analyst: Thank you. Good morning. I have two questions. One relates to development of revenues in 2024. I'm not sure if I've overlooked this. But is there a forecast? Because I understand that EBT is to be slightly lower than margin supposed to be on the same level, which says to me that revenues will decline? My second question, I didn't hear confirmation of the 20% target for base and at the moment to share somewhat lower. Is this a target that you have given up for 2024? Or are you upholding it? That was it.
Maximilian Schoberl: Thank you, Hinter. And Mr. Mertl will answer.
Walter Mertl: Hello, Mr. Hinter. Thank you for your question. As you know, we're not making any forecast on revenue. We're making forecast on our sales expectations. And this is unchanged. We're seeing slight growth for the overall year, we're not distinguishing by quarters or six months, but this is for the entire year. And regarding your question about our debt share, we'd always said that our product range makes possible 20%, but we never spoke about a target of 20% for this year. It is possible, though, and we consider ourselves to be right on track. After six months, we're already at 17%. And even if you're comparing to last year, we are seeing gradual growth. But as I said, there is no such thing as a target of 20%. Thank you. Next question please.
Operator: The next question is from [indiscernible] of Bloomberg News. Please unmute yourself now.
Unidentified Analyst: Good morning everyone. I hope you can hear me well. I've got a short question only. You've mentioned that for China, Mr. Zipse, you're expecting for the third quarter, you're expecting sales to increase again or the market to recover. What makes you say positive about this? Many others are expecting the Chinese market to not recover for quite some time and certainly not this year. So what makes you so confident? And perhaps you can tell us how the market has generally developed there and what about the price competition there and whether or not you're taking measures there. Thank you.
Maximilian Schoberl: Thank you, [indiscernible]. I'll pass the floor to Mr. Zipse.
Oliver Zipse: Mr. [indiscernible] good morning. I think there are three things that make us optimistic. First of all, the first generation MINI has now been ramped up. And we've reached the low of the model changeover and now we're on the upswing. This year, the Aceman will be coming, too. So in terms of volume, MINI will play an important role because the entire product range is new. The second thing is, if we have a closer look at the figures in China, the e-share is growing. Full BEVs grew by 19%. So the range of products we have is certainly not declining and the attractiveness of the products is still there. And then the third thing, we've also had a pretty good discipline. I mean there's a slight decline right now. We're not going into all of the price competition. So the equilibrium of offering cost control and price discipline, that's working pretty well. In China, nobody is overly optimistic, that would certainly be wrong. But if you compare this to the attractiveness of the product portfolio, then we leave that with -- together with the MINI argument, we can be a little confident. Thank you. Next question please.
Operator: [Indiscernible]. Please unmute your microphone now.
Unidentified Analyst: Good morning from Frankfurt. I hope you can hear me.
Maximilian Schoberl: Yes, Mr. [indiscernible]. We can hear you.
Unidentified Analyst: I have a question about the best sales in Germany and the EU. Sales were somewhat sluggish over the past few months. Could that be a second chance for plug-in hybrids, which for some time, did not enjoy a good reputation, neither in the press or Germany generally, but now these products have a higher range than a couple of years ago when that discussion came up. And then a question about the relationship of OEMs and suppliers. We're reading about conflicts that occur at BMW, for example, with Conti. Do you have the impression that the weakness of some suppliers also affects the quality of the product somehow?
Maximilian Schoberl: Thank you, Mr. [indiscernible]. Mr. Zipse?
Oliver Zipse: Good morning, Mr. [indiscernible]. Well, I have not heard yet that we have set a bad reputation, at least not the BMW has. We have always said that if we could produce more than we would, and I believe in terms of range, more than 80 kilometers, I think that makes them highly attractive, and they're really very, very popular. And this is part of the technology diversity we have. We don't really have a favorite as such. We're just following the markets, and we're following the customers. So much on the PS. And with the BEV sales, by the way, we're quite happy with those. As a result of those, the CO2 targets, where we will stay clearly below those. So there will be enough BEVs in order to achieve those targets. Now the suppliers that's an issue, that does worry us. It's a mix trough. Well, the total, it's the entirety of the industry. It's not BMW as such, which is so greatly affected. But in total, it is certainly a financial burden to also buy us if they are not working to full capacity. But on the other hand, it's also in-house problems that each of those suppliers may have. Well, but let's not see things too negatively yet. I think the German supplier industry is able to adapt and we should just wait and see that the necessary adaptations will now be made swiftly, and we do see light at the end of the tunnel. But of course, there is fierce competition in times of technology diversity. They have to remain competitive and face competition. Thank you. Next question, please.
Operator: [Indiscernible]. Please unmute your microphone now.
Unidentified Analyst: Good morning. Good morning from Hamburg.
Operator: Good morning, Mr. Hagler [ph]. What is up, you just started as if you just gotten out of it. But I know that would not be, Hamburg always up early. I can imagine you're probably up since five. I'm sorry. Okay, you have the floor. Mr. Hagler.
Unidentified Analyst: Thank you. There are two points I'd like to address, and I'm sure you're concerned with those. You mentioned those in your speeches, and that's the uncertainty that we are perceiving, that I am perceiving in the market. And I'm talking about Europe and Germany and perhaps the U.S., as far as the powertrain is concerned. Is there a backlash? Well, it has, the path to electrification somewhat slowed down. Do you need to take counteraction? And what does that mean for the target for 2035 in EU, '26 announced a review. So what's your wishes, what is your intentions as far as the review results and as far as '35 is concerned? Should we stay in that path? Or should we do things differently? So that's one thing. And then what do you expect of the new Commission, the European Commission in that context? Do you think the targets need to be adjusted for many months or actually, for many years? The climate has been right on top of the agenda. But perhaps is there an adjustment necessary here as some of the parties are demanding?
Maximilian Schoberl: Thank you, Mr. Hagler. That's just the right question for Mr. Zipse.
Oliver Zipse: Mr. Hagler. Good morning. Well, there's uncertainty in a way that's a little bit homemade. If you're a full-scale supplier, you can respond to this uncertainty. And if you look at the European figures at BMW, the BEV production and sales figures increased by 52% in Europe. And the overall market, by the way, also saw two-digit growth for BMW in Europe. And that's with all drive variance, I understand that there is uncertainty out there, but that is homemade because people and prior expectations that simply cannot come true because all of this obviously depends on the infrastructure and on buyer behavior. We are not surprised for any of that. And the figures that I've just given you prove that we are not feeling any restrained on the part of our customers in Europe, and we will achieve the CO2 targets this year and next year, as I've already told you. Now the target for 2035. Well, our position is we don't think this can be achieved, for various reasons. But what's more important, why '35? First of all, for every OEM, there have to be minus 15% in terms of CO2 emissions. For next year, that's 2025. And then 2030, there's an interim target of minus 55%. That means at least 50% of the cars in your fleet have to be fully electric. So that would be interesting to see in the next five years. We're quite confident that we can reach that target. But you need to know that there are two things that are important for this. You need a charging infrastructure in the public sphere, but also in private homes. And this is progressing much more slowly, although we are making progress in Germany. And of course, the supply chains need to be able to supply the batteries. And if you read the newspapers, we do read a lot of newspapers, then you will know that battery technology and supply chains, all of that is not that easy because the supply chains are global. So that will be a question. So perhaps there's a clever way of reducing CO2 that's much faster and much more efficient. And the way we are proposing is one of being open to all technologies so that all of the technologies work together in their improved full, while at the same time, maintaining competitiveness of the European automobile industry. I think it's the entire package that would make a lot of sense. And of course, we continue to run at here well, we consider to that overall goal to be incorrect. Thank you. Next question, please?
Operator: [Indiscernible] from Thomson Reuters. Please unmute your microphone now. Lisa [ph], we can't hear you. Ms. Lisa, you can now turn on your microphone. Maybe we'll continue with the next question. Next question, Nick Gibbs from Automotive News Europe. Please unmute yourself now.
Nick Gibbs: Hello, thank you very much for taking my question. My question, I have two questions, but the first is about MINI imports. How is your -- how is it going in your negotiations or talks with the EU in terms of getting, reducing the tariffs on the EV and the Aceman? Is that going to hurt your targets, if it turns out you cannot get those tariffs reduced? And why did Spotlight not originally cooperate with the EU on this one? Thank you.
Maximilian Schoberl: Oliver, please?
Oliver Zipse: Well, we're having intensive discussions with the competent authorities. First of all, we are quite confident that the very high tariffs or the highest possible tariff of 37.5 will not actually occur. What we're also trying to achieve is we wanted to achieve an overall better solution. And ideally, that would mean that there will be tariff adjustments so that imports to China and the EU will both be tariffed at 15% or 10% or ideally, 5% or no tariffs at all. So that would be the first element of a possible solution. And the second one, it might be worth considering for importers to define conditions for importers in such a way that they can gain access to the market under identical conditions, but that there are specific localization requirements for battery technologies. So that even after 2035, we have a way going forward. I think that's a good suggestion and that we would like to share with the parties in question. Thank you. Next question, please?
Operator: [Operator Instructions]. We currently don't have any questions.
Oliver Zipse: All right. Thank you. So we're going to end our Q&A early today.
Operator: Thank you for participating, and I wish you a nice summer. Stay healthy, and see you soon.